Mark Hoplamazian: Yeah. There were several notable openings in the fourth quarter enhancing our luxury resort and lifestyle offerings. These included Park Hyatt London, River Thames, Grand Hyatt Deer Valley, Thompson, Palm Springs, and the addition of the Standard and Bahia Principe hotels. We expect organic net rooms growth to meaningfully accelerate in 2025 reflected in the outlook that we provided this morning. We kicked off the year in a big way with the addition of the Venetian Resort, in January. And through the first 45 days of the year, we have already opened 9,000 new rooms. Now turning to operating results. Our fourth quarter results reflect the strength of our brands as we achieved several records during the quarter. This morning, we reported system wide RevPAR growth of 5% for the quarter and 4.6% for the full year. We continue to see high end consumers prioritizing travel as RevPAR growth was strongest among our luxury brands in both the quarter and for the full year. Leisure transient rooms revenue increased approximately 4% in the Quarter. And for the full year, revenue increased approximately 1%. Results were strong for resorts in the Americas over the festive period, and transient pace for the first quarter of 2025 is up in the high single digits. Compared to the first quarter of 2024. Group rooms revenue was flat in the quarter and was up 5% when adjusting for the timing of the Jewish holidays in October and the US elections in November. Looking ahead, 2025 group pace for the US full service managed properties is up 7% compared to 2024. With average rate accounting for over half of the increase. We expect group contribution to be strong in the first quarter driven by the timing of Easter falling in April 2025, compared to March of 2024, and the presidential inauguration in DC in January. The This is TransUnion. Customers remained our strongest growth segment. Delivering revenue growth of 10% in the quarter. We continue to see our large corporate customers back on the road and we experienced an increase in both demand and average rate in the quarter. Overall, business transient revenue was up 12% For the year. And this benefited major urban markets in the United States including New York, Washington DC and Seattle. World of Hyatt continues to deliver remarkable results. And has fueled our commercial success. World of Hyatt membership reached a new record of approximately 54 million members at year end at 22% increase over last year. Multi room night penetration during the quarter set a record high highlighting the engagement from our world of Hyatt members. Spend on our co branded credit cards increased 18% in 2024 compared to 2023. And our consumer card was the winner of the Kiplinger's Reader's Choice Award for the best hotel credit card. Our focused effort to deliver more unique experiences for our guests more frequently and in more locations, helps to position Hyatt as the brand of choice. Before I turn it over to Joan, I'd like to spend a few minutes reflecting on Hyatt's evolution to a brand led organization. When we launched World of Hyatt in 2017, we we aspire to create a loyalty program that would build community and engage with high end travelers. World of Hyatt was and is the foundation of our brand portfolio. And we've deliberately expanded that portfolio to meet the needs of our existing customers and to attract new members. While growing an award winning loyalty platform we also took intentional steps to add brands that would complement our existing portfolio while accelerating the growth of our existing brands. We used customer insights to identify where and why our members wanted to travel, and deliberately grew our portfolio of luxury resort and lifestyle hotels while at the same time expanding into the upper midscale segment. Since 2017, tripled resort rooms, and quintupled lifestyle rooms. We also launched Your Cove and Hyde Studios, our upper midscale brands. At the same time, we embrace the power of a differentiated loyalty by providing more benefits for our members when many loyalty programs were taking benefits away. The relationship with our members is more than a transaction. Because when they say the Hyatt, they welcome us into their lives. And we have always committed to caring for them so that they can be their best. We also extended care by providing our members with more ways to experience Hyatt. Whether on property, or through collaborations that extended the value of their membership. While care is hard to measure, we would know we were succeeding if our membership base and engagement of our hotels increased. And on those measures, been extremely successful. Since 2017, we have grown our loyalty membership base on average by 27% per year. And today, our members per hotel is significantly higher than our larger competitors. And the next step of our journey begins with our new brand groupings. Luxury, lifestyle, Inclusive. Classics, and essentials. Our brand led organization allows us to further elevate the focus on our guests, and customers that we serve in these brand groups. We're using new tools that deliver bespoke insights that will drive greater customer preference for each brand group and more loyalty to Hyatt. Even as we improve these abilities, we have the most white space and opportunities to grow compared to our major competitors. We expect to continue to grow at a healthy pace with well defined brands and organic growth from our record pipeline, to serve many more stay occasions for our guests. Our growth in luxury and lifestyle will continue to be very intentional ensuring we protect the ethos of each brand and to not just grow for the sake of growth. We will continue to be a leader in the all inclusive space, with an increasing level of powerful resources driving performance. For Hive, this means much more than just a pending quote, all inclusive unquote. The end of an existing brand. It means providing a differentiated frictionless travel experience through vertically integrated channels like ALG vacations and UBC, while delivering the best food and beverage and entertainment offerings in the category. Our classics, which includes storied brands like Brand Hyatt and Hyatt Regency, and our Essentials brand group, which includes our select service brands. Will drive scale for Hyatt. We will focus on expanding our brand footprint, as we still have many more markets to serve. Especially among our essentials brands, This includes our upper midscale brands which have great momentum with over 55 open York Cove hotels and our First Hyatt Studios hotel opening in the first quarter of this year. We have over 120 upper midscale hotels in the pipeline will fuel future growth. This is a view to our future. Differentiated offerings across distinctive brands and a highly focused approach to leveraging our loyalty program and the insights that matter the most as we serve high end travelers across more and more of their stay occasions. We are committed to seeing our guests and customers as individuals and extending our purpose of care We will not use a lowest common denominator approach in any aspect of our business. This leads to greater loyalty and share wallet among our members and customers. At a higher average rate n at a lower cost of acquisition, driving better returns for our owners. Our owners realize the benefit of the Hyatt network and wanna build more properties with us. That increases our brand footprint. This provides more opportunities in more places for our members and guests driving further loyalty to Hyatt and better performance for our owners. When you put this together, we have the ability to generate significant fees per room. Which increases our earnings, Margins. And cash flow over time and serves as a powerful growth engine into the future. I'd like to close by expressing my gratitude to all Hyde colleagues including the 15,000 new colleagues from Standard and Bahia Principe who live our purpose every day by caring for each of our stakeholders. Joan will now provide more details on our operating results. John? Over to you.
Joan Bottarini: Thanks, Mark, and good morning, everyone. During the fourth quarter, system wide RevPAR increased 5% led by increased business and leisure transient travel. In the United States, RevPAR increased over 3% our strongest quarter of growth in 2024 driven by business and leisure transient travel. RevPAR in the Americas, excluding the United States, increased approximately 9% with business travel up over 15% in the quarter. Our all inclusive properties in the Americas reported net package RevPAR up 2% to last year had a strong festive season. In Greater China, RevPAR was flat to last year, significant improvement. From our third quarter results. Domestic business transient travel benefited hotels in Mainland China during fourth quarter, and we experienced similar trends in January of 2025. Asia Pacific excluding Greater China had another quarter of strong results. With RevPAR up approximately 12%. RevPAR in South Korea, Japan and India increased by double digits compared to last year driven by increased international inbound travel into these markets. Europe finished an exceptionally strong year with RevPAR up 7% in the quarter. Leisure and business transient were the primary drivers as international inbound continues to positively impact operating results in Europe. We reported gross fees in the quarter of $294 million up 17%. We set a record for the highest gross fees in a quarter driven by franchise and other fees, which increased 27% due to the contribution from UBC and RevPAR growth in the United States. Base fees grew by 11% fueled by managed RevPAR growth, and fees from newly opened managed hotels. Incentive fees were up 11% from strong contributions from all inclusive properties in the Americas, and hotels and other international markets.
Mark Hoplamazian: Owned and leased segment adjusted EBITDA increased by 5%
Joan Bottarini: Sent when adjusted for the net impact of transactions. Margins for comparable hotels increased 70 basis points in the quarter And on a full year basis, improved by 20 basis points compared to 2023. Our hotel teams have demonstrated strong cost discipline and a focus on productivity improvements which has led to expanded margins despite increases in non controllable costs. And finally, our distribution segment adjusted EBITDA declined by approximately $4 million when excluding the UBC transaction. Lower than anticipated booking volumes, and hurricane Milton contributed to the decline. In total, adjusted EBITDA was $255 million in the fourth quarter, an increase of approximately 20% excluding the net impact of asset sales compared to last year. For the full year 2024, we repurchased approximately $1.2 billion in shares as we returned excess proceeds from asset sales to shareholders. We have approximately $1 billion remaining under our share repurchase authorization. As of December 31, 2024, our balance sheet remains strong with total liquidity of approximately $2.9 billion including approximately $1.5 billion in capacity on our revolving credit facility and approximately $1.4 billion of cash, cash equivalents and short term investments. During the quarter, we issued $600 million of senior notes and we intend to use a portion of those proceeds to repay our notes due in April 2025 on or before their maturity. Now I'd like to cover our outlook for 2025. The full details can be found on page three of our earnings release. As a reminder, our outlook does not include projections for acquisition or disposition activity beyond what what has been completed as of today. For the full year 2025, we expect full year system wide RevPAR growth to be in the range of 2% to 4% compared to 2024. We expect RevPAR in the United States to grow near the midpoint of our system wide outlook range driven by strong group and business transient demand. But expect to see a continuation of elevated levels of outbound international For Greater China, visibility remains very short term, but as we have previously noted, trends have begun to improve. At this point, we expect to see international outbound travel trends in 2025 looked like 2024, However, expect domestic travel to improve throughout the year driven by business transient. We anticipate our properties in Asia Pacific excluding Greater China, will have the strongest growth in RevPAR of any of our geographic regions as they benefit from significant international inbound travel, and favorable foreign exchange rates especially compared with the US dollar. While Europe is lapping very strong results in 2024, particularly in the second and third quarters from several large events, including the Olympics in Paris, we expect to see year over year RevPAR growth at the lower end of our range. We expect net rooms growth the range of 6% to 7% driven by an acceleration in our organic growth. Our outlook does not incorporate small portfolio deals which would be accretive to our current outlook. Gross fees are expected to be in the range of $1.2 billion to $1.23 billion an 11% increase at the midpoint of our range compared to last year. Our outlook includes the addition of the standard international and via principal pay transactions for the full year accounting for approximately one third of our fee growth.
Mark Hoplamazian: Our outlook also incorporates
Joan Bottarini: fees from the Venetian Resort Las Vegas, which joined the Hyatt system in January. We earn fees based on the business that we deliver through our channels and expect fees to steadily increase over the coming years. Adjusted G and A is expected to be in the range of $4 to $460 million inclusive of G and A from the Standard International and via principal paid transactions. Adjusted EBITDA is expected to be in the range of $1.1 to $1.15 billion an 11% increase at the midpoint of our range compared to last year, when adjusting for the impact of asset sales. Our outlook incorporates the reduction of $80 million of owned and leased segment adjusted EBITDA from real estate that we sold 2024. Please refer to slide fourteen of the investor presentation posted on our Investor Relations website this morning for the quarterly impact of real estate dispositions on 2024 results. For the distribution segment, expect growth of approximately $5 to $10 million compared to 2024 with most of the growth expected in the fourth quarter. Adjusted free cash flow is expected to range from $450 million to $500 million which excludes $150 million of deferred cash taxes expected to be paid in 2025 related to asset sales that took place in 2024. Our capital allocation strategy remains consistent. We are committed to our investment grade rating, identifying opportunities to invest in growth, that create value for our shareholders paying a quarterly dividend, and returning excess cash in the form of share repurchases. We're not providing an outlook for capital returns to shareholders at this time due to the pending transaction with Playa, However, we do expect to return capital to shareholders in 2025, beyond quarterly dividends. We will provide an update over the coming months as the transaction with Playa progresses. Before closing, I'd like to highlight recent RevPAR trends. January started the year off strong driven by growth in leisure transient. We see these trends continuing so far into February and with the shift of the timing of the holidays that Mark mentioned earlier, expect for the first quarter to be at or above the high end of our full year guidance range. As a reminder, our first quarter adjusted EBITDA results are expected to be negatively impacted by approximately $40 million due to the real estate dispositions completed in 2024. In closing, our fourth quarter and full year results highlight the strength of our asset light business model. Over the past year, we have successfully executed our operational commercial and growth strategies while simplifying and streamlining our business model. And as we look ahead, we remain focused on operational excellence, to continue to grow our core business while our network is expected to be enhanced by strong organic growth in 2025. Benefiting all stakeholders well into the future. And this concludes our prepared remarks, and we're now happy Two
Operator: In the interest of time, we ask that you please limit yourself to one question and rejoin the queue for any additional questions. Thank you. Our first question comes from Ben Chaiken from Mizuho.
Ben Chaiken: Hey. Good morning. Thanks for taking my question. For my one question, I would love the puts and takes on the
Mark Hoplamazian: Doug and I believe you mentioned Mark in the prepared remarks that you expect Nug to meaningfully accelerate in 2025 on an organic basis, I guess. Any way we can kind of unpack that unpack that comment And then I think last quarter, there was a conversation about elevated attrition. Is this largely behind us, or is it still a variable that you're navigating? Thanks. Thanks, Ben. Net rooms growth, don't refer to it as NUG, but net rooms growth outlook for this year is is materially better in the composition of it. As I've mentioned in my prepared remarks, we've opened 9,000 rooms in the first six weeks of the not quite six weeks yet, of the of the year and that represents about 40% of our network growth for the year. The pipeline openings are expected to be significantly higher than last year because a number of projects got pushed from last year into this year, and a number of those are relatively larger hotels. And we're seeing a an outlook that we published that doesn't include portfolio transactions. We have been very successful in conversions. In 2023, it was around 50% of our total net rooms growth last year, about 30 This year, probably 40 to 50%. And I think think the upside there's further upside. First first of all, we've got 40% already spoken for and the further upside from potential portfolio deals is significant. The the last thing I will say is over 60% of all of our openings that we see coming out of the pipeline this year are Front loaded. In the first half of the year. That's very different than the profile we had last year, which is why we had slippage. So I feel really good about where we stand and the conservatism of our outlook. Thank you. Appreciate it. It also I I would only also just add one other thing, and that is we have taken a very I would say, conservative and cautious approach. You may have seen a number of a number of people on the phone. I'm sure it read that an entity of the Lindner Group in Germany which is under a franchise a number of their properties are under a franchise agreement with us. Under the Lindner brand, not under the Meenall brand. File for insolvency. That's like a more akin to a chapter eleven. Proceeding, but the the family and some third party appointees are working through that right now. To be cautious and to be conservative, we've actually assumed within our net room rooms growth outlook, attrition associated with that I think that's very conservative approach because the nature of these processes is to work out a a go forward basis on which you can continue to operate. None of our none of the hotels have stopped operating. At this point.
Ben Chaiken: Sorry. What's the size of that?
Mark Hoplamazian: Yep.
Ben Chaiken: Pointed out somewhere. I can track it down.
Mark Hoplamazian: Yeah. I think it's in excess of 2,000 rooms.
Operator: Thanks. Our next question comes from David Katz from Jefferies. Please go ahead. Your line is open.
David Katz: Morning.
Mark Hoplamazian: Thanks for all the detail and the follow-up with respect to the guidance. I wanted to ask about your Playa deal And know, I don't know the degree to which you can shed some light, but it's come up in a number of conversations about it. With with respect to the portfolio of brands. Like, the strategy of buying it and the real estate and recycling, I get it all. But there's a number of other brands within that portfolio. Assuming there is some strategy for dealing you know, with those other brands, Right? It's it's a bit unusual for what we see in that context. So we're we're really not gonna be commenting on the planned transaction or the details of it beyond what's already been released in the eight k filing earlier this week or in the earnings release The focus of our attention is really the expanded management platform the expansion of our distribution channels, namely ALG, v ALG Vacations and UBC. That'll offer guests more seamless booking up options and also more value. And we're I think, very well positioned to be able to drive more value creation to the properties and to the owners of the properties, and to Hyatt and to our guests through the complementary business segments and further optimizing our existing all inclusive infrastructure in Mexico and the Caribbean. So that's really the the gist of what we're focused on. And beyond that, we're not gonna really go into any further details until more things reveal themselves as we go through the process, which will take some months Okay. Thank you. Our next question comes from
Operator: Connor Cunningham from Melius Research. Please go ahead. Your line is open.
Connor Cunningham: Hi, everyone. Thank you. I was curious if just if you could talk a little bit about the appetite for further M and A. You've obviously been super active with your portfolio. Just are are things gonna calm down this year and you let things digest a little bit? And then in the past, talked a lot about about about irreplaceable hotels. Like, when you go through this this next this next stop of dispositions. Are are are you do you still view those as as if irreplaceable going forward? Just just trying to portfolio. From here. Thank you. Sure. The short answer to your first question is yes. Things will definitely calm calm down as you said. This was a somewhat unique opportunity with respect to Playa. And otherwise, we feel really good about the brand portfolio that we currently have. And we are focusing our attention on optimization That's part of the rationale behind the brand organization that I mentioned in my prepared remarks. As to the portfolio, we do have A We do have a a number of really extremely high value assets in our portfolio they they they are basically irreplaceable. It doesn't mean that they're not for sale. We don't have any hotels that I would consider to be off limits. We've got a number of hotels that we are in discussions with. We've got two with respect to which we have LOIs at the moment. We've already talked about the the Hyatt at the grand grand central station in New York and also the Andes in Liverpool Street. And we're working through those those two processes. And, yes, it's been a couple of years since we've been discussing it, and and it may it will take longer because there's they're very complicated, but they are very attractive. From a value perspective and from a freeing up of capital and CapEx obligations into the future, So we will continue to pursue those and addition to those two, we are also working on others at the moment. So we will continue Two look towards further sales of of existing assets in our portfolio. As we said very clearly, by 2027, we very it's it it is an absolute sort of a plan at this point or expectation that we're gonna get to 90% fee based earnings on a run rate basis. So that's the direction of travel, and we said last year, that you can expect to see us continue to look at for the dispositions and hasn't changed. Appreciate it. Thank you. Our next question comes from Smedes Rose from Citi. Hi. Thank you. I I wanted to ask just a little bit more, I guess, you know, as you enter a period now of expected another kind of round of real estate sales, I was hoping you could just kind of comment on on the environment that you're seeing and maybe specifically, in just kind of a way from play, but just maybe speak to just the all inclusive market Failed in general. It's not an area that we got a lot of information on, but we do see some transactions, and they seem like the buyer pool there is quite different from maybe your more traditional kind of legacy hotels, and it's just kind of hoping you could just provide a little more color around how that could proceed. And what's your willingness to provide seller financing as you look to sell down assets going forward? Thank you. Thanks for the question. We because of our position through the ALG acquisition, and our presence in the marketplace, we are doing business with the the principal large investors in very high end all inclusive resorts. So we know The market? Very well. It's dominated by families. Both Spanish families and Mexican families. And Dominican families. So Not both. All of all of Mexican Dominican and and Spanish. So the so they're well known to us. Personal relationships with with many of the family principals. And also those Thanks. Other financial institutions Both in well, in all three of those locales, Spain, Mexico, and Caribbean are also well known to us. So we're in the market. We we understand And who's doing what to whom, what their strategies are, and how they think about it. It is a market that's not yet institutionalized in the same volume as you see in Europe. In Europe, all inclusive resorts are largely owned by institutions. And we are at an inflection point in the Americas, where institutional capital, yes, including PE Capital, are are now entering the market, and there's a pretty simple reason. The model is very, very attractive. It's more predictable, higher margins, higher free cash flow, And the the durability of the model has been proven and the yields are higher so for for investors. So this there has been and there continues to be an increasing elevated level of of inbound interest from institutional capital into the market. So we feel like we are at that inflection point. We've already had a few transactions that aggregate to probably maybe just under a billion dollars worth of assets that have been that have traded hands that involved institutional capital. From the United States And so we feel like the the ice has been broken, so to speak, and and we're optimistic that we'll see more and more investment in these kinds of assets going forward because they're so attractive. Okay. And and it's all a financing I think you did some in the fourth quarter. I think it's it's really premature for us to comment on anything related to potential asset sales at this point. Okay. Okay. Thank you. Thank you.
Operator: Our next question comes from Stephen Grambling from Morgan Stanley.
Stephen Grambling: Hi. Thank you. I think you referenced an 18% increase in spend on the co brand credit card. I I guess I'm curious. When was that contract last signed and how do we think about an opportunity to drive incremental fees from this going forward? So we renewed that contract in twenty one. And it's a five year contract or five year arrangement. So we are actively engaged in in looking at alternatives as we look forward. And is there any
Mark Hoplamazian: know, kind of rhyme or reason in terms of how those typically get set up or how you would think about characterizing business now versus 2021 in terms of what is beneficial towards a a co brand partner? Yeah. A couple of things. One, we've doubled the number of members over the last four years. Second. We are told, we don't have data to prove this ourselves, that we have the highest spend per cardholder of any hotel co branded credit card. Third, you know, the the our customer base is a customer base that is at a higher level of household income and household net worth. So it stands it's a reason that they are more Thermal. Spenders. So I think we have a very attractive member base that is now twice as large as it was when we did our deal that's underway right now. And we've continued to add significantly to our luxury and our life and our resort portfolio, meaning we have many more aspirational Hotels. In Great. Segments. That that clientele would like to travel to. And I mentioned in my prepared remarks that our luxury RevPAR growth in the quarter and in and for the year. And that's not be lost on anyone in terms of the differentiation of our customer base.
Stephen Grambling: So I think all of that is the network effect
Mark Hoplamazian: That's part of the network effect, y card membership and and activity is higher and should be reflected in any future arrangement that we make.
Stephen Grambling: Helpful. Thank you.
Operator: Our next question comes from Chad Beynon Macquarie Group. Please go ahead. Your line is open.
Chad Beynon: Hi. Good morning. Thanks for taking my question. Mark, you
Mark Hoplamazian: noted some of the the stats in terms of the the net unit growth confidence, particularly in the first half of the year. But I wanted to dive into that a little bit deeper, mainly related to the 50% of your pipeline, which is in the the Aspac region. Which has had, you know, some more delays than than other part of parts of developed markets. So is it fair to say that the growth that you're seeing or the confidence that you have in the net unit growth kind of highlights you know, better construction starts and and just openings in that part of of the world. And then more importantly, as we look forward, have those construction starts picked up, and that gives you more confidence as we look out beyond 25 with net unit growth. Yeah. So I think construction a portion of the portfolio that's under pipeline that's under construction is about flat quarter over quarter. And so we see a steady maintenance of that level And we expect to see that at least maintain itself if not if not improve over the course of this year. I think that two things are happening. One is, we will have our first Hite Studios open in the first Quarter The you know, in in our in that particular market seen as believing, And so there's there's some element of of momentum that we believe will come out of being the first one out of the ground. The Yer Cove activity has been extremely high and that's that's our Chinese upper mid scale brand. And those are conversions that's adapted reuse basically, and those happen in very short periods of time. So from the time that Elise has signed, we're we're not the lessee, but from the time that a lease is signed and and a management agreement is signed, it takes roughly nine or ten months to open the hotel. From scratch. So that tends to be a high throughput and and short term cycle time. And we are we're optimistic actually with respect to what we're seeing in Asia. At this point for openings. So I think across the board, we feel more and more constructive about openings over the course of this year. And I think that, we're we're headed towards a a better and maybe more balanced approach to Cool. Promoting organic growth and realizing it
Chad Beynon: Okay. Thank you. And then secondly, just on the owned
Joan Bottarini: portfolio, I can see in the the release, the impact. Joan, you mentioned $80 million from an EBITDA standpoint, and the revenues are in here as well. But as we think about the the margins for or change in the outlook of margins for the owned portfolio, 25 versus 24. Should we expect anything to be outside of the range that you previously provided for us? We've been consistently guiding to the fact that the the efforts that we've undertaken to look where we can with respect to productivity improvements and managing controllable costs has yielded great returns and with an eye towards making sure that we're preserving customer service expectations from our guests. So we are we are managing margins to be incrementally positive year over year, And what you see is the portfolio structurally has changed with the asset sales. So our expectation is that we continue to deliver at least flat to incremental margins going forward despite the fact that we've got non controllable expenses that we're facing with respect to insurance costs and some wage inflation in some markets. So we're managing that well and and continue to expect that our margins will expand.
Mark Hoplamazian: And if I could just add quickly, you know, I think for clarity, we did make a note below the table at the top of page two of our earnings release about the adjusted EBITDA increase in the fourth quarter of 2024 excluding asset sales. We then put two pages in the investor deck which are pages thirteen and fourteen. Page thirteen demonstrates the adjusted EBITDA growth without or sorry, taking into account asset sales. And page fourteen to provide all the information that should be needed to really understand this. It's broken down by quarter. So I know that there may have been some misses in terms of picking up the information, So I just wanted to Clarified that.
Joan Bottarini: Yeah. Those those extra slides were prevented were were prevented for your benefit because we've observed that some models are not picking up the distribution or the dispositions of assets in the resulting EBITDA That is
Stephen Grambling: the lost you know, it's associated with those dispositions. Exactly.
Mark Hoplamazian: That's helpful. Thanks for the additional disclosures. Appreciate it. Sure.
Operator: Our next question comes from Brandt Montour from Barclays. Please go ahead. Your line is open.
Brandt Montour: Good morning, everybody. Thanks for taking my question. So so one of your peers you know, kinda gave a a a an outlook on IMF that was a little more a little downbeat just given China uncertainty, but they had they had also had some other things going on, and everyone's obviously once we're portfolio is different when it comes to IMF. I was wondering if, Joan, if you could give us some of your sense on how IMF could sort of come in this year or or how you're feeling about it at least given the sort of China uncertainty and especially the one q tough comp you have in China?
Joan Bottarini: Sure. You know, I The the RevPAR growth that we're providing, the outlook for 2025, is healthy across Oh, all markets. And it's it's it's strong considering that we've had some a little bit tougher comps in 2024. But as we look to international markets, you know, still healthy growth where expecting, and and I I pointed out what we expect in Asia Pacific excluding Greater China. So those markets deliver strong incentive fee growth and we expect a strong contribution from those markets this year. When you may maybe just taking a step back on your question too, When when you look at our our fee growth outlook, And you consider the midpoint of that range. It's a healthy range. And little less than a third of it is is related to the acquisitions that we made in the fourth quarter So it's still a healthy growth rate in the high single digits at at the core of of our fees related to Rev par and net rooms growth. So, you know, across all of our line items, base incentive, franchise, and other fees, we're seeing healthy growth across the board in in 2025 that we expect. And just one last thing I'd point out is part of our net rooms growth is The Venetian. And the Venetian is a couple hundred basis points of that, net rooms growth. And that property in particular, we're earning fees on the business that we And, it's a it's a little dilutive to our to our algo, to our to our fee algo, but we're seeing really great early results coming out of the business that we're delivering in just 45 days. So we expect that those fees will be contributing in 2025 and will continue to grow into the future. So overall, we feel really good about the feed growth into 2025.
Brandt Montour: That's really helpful. Thank you for that. Just to make sure I understand those Venetian fees will flow through the franchise and other bucket. Correct?
Joan Bottarini: That is correct.
Brandt Montour: Okay. Everybody.
Operator: Our next question comes from Alex Bregnault from Redburn Atlantic. Please go ahead. Your line is open.
Alex Bregnault: Hi. Thank you so much for taking the question. It really relates to the to the last point that you made on on the Venetian and and obviously point taken on the contribution it has to the wider brand value I guess my question is is how that ties into
Mark Hoplamazian: underlying room growth. Obviously, that's a a relatively large component of the guidance that you have given And I wonder if we look into outer years, how we should think about the contribution of Incremental deals within your expectations for room growth? And whether they are likely to be dilutive to fees as division is absolutely. Thank you.
Operator: Sure. So
Joan Bottarini: the you know, when we look at every single portfolio deal or individual asset, There's we we obviously underwrite new deals every single deal that, that that requires on a on a portfolio basis. But we we look across those individual deals and The fees per room that they contribute. And so, overall, we've got higher fees per room across the industry because of the quality of our contracts. And the quality of our assets, frankly, and our performance. So it's important to point out yes, the Venetian has sees that per the contract are contributing based on the amount of business that we provide. So it's a little bit lower than our our overall fees per room. And then the I'd point out that another big transaction that we did, the buy a principal pay deal, has fees per room that are above on a stabilized basis. Our averages. So this all averages out, and we are constantly looking at our fees per room to make sure we're still delivering that quality value overall for the portfolio. As we look at different portfolio deals, whether organic or inorganic growth. And, you know, I'm not gonna say what the patient deal is is is is providing great great interest and is attractive to our world of Hyatt members and our corporate customers because our group sales is system is engaging with them, both for the Venetian and the Rio and Vegas, But but it's a unique deal. And an exciting one for us. That's fantastic. I I
Alex Bregnault: I guess as as a quick follow-up, I might off
Mark Hoplamazian: In terms of the the comment you made on an acceleration in underlying unit growth, if I kind of just look at the signings trajectory, it looks relatively similar on an underlying basis x some of these bolt ons, but the 24 relative to 23, I I may have done just terrible math. On that, so please excuse it if I have. So how would I in in terms of the underlying net unit growth accelerating, what what would be the fair way to think about it for outer years after this one? Should it should it be kind of the underlying growth that you've done x the the bolt ons and then we think about more bolt ons or should that number grow exclusive of anything incremental that you would bolt on. The letter. We we the really, what's happening is we're seeing signings maintain and and have further momentum. We've got new new upper mid scale brand introductions that I think will drive a lot more signings in this year. So I think the signings base is gonna be continue to be strong, but also the openings out of our pipeline will continue to expand. Last year was a was a unusual year for openings out of the pipeline, unusually low. Part of that was hotels that got pushed. So I think we're at a point where we have I think more both more visibility in the near term and also more confidence that we're gonna see the mix change. It'll be increasingly organic, And the top up, as you described it or the or the add, the increment will come from portfolio transactions.
Alex Bregnault: That's usually helpful. Thank you.
Mark Hoplamazian: Thank you.
Operator: Our next question comes from Michael Bellisario from Baird. Please go ahead. Your line is open.
Michael Bellisario: Thank you. Good morning, everyone. Just on this Lindner uncertainty, is there an opportunity for you to invest there maybe by the or the real estate just trying to think about alternative potential outcomes. And also just
Mark Hoplamazian: a quick follow-up on FX. What impact are you assuming in your EBITDA outlook for 25? Thank you. On the on the first one, I think there are many options that will reveal themselves. We're not in control of the situation, but we are very closely tied to the family members and advisers that are working on it. So, yes, what you described are in the realm of possibility. And you can imagine we are inventive and have a lot of history in identifying great real estate partners, but also I would say, bespoke structures that will allow us to play a part, but that remains to be seen. And with respect to the FX question, I'll leave it to Joan.
Joan Bottarini: Michael, the FX impact for us expected into 2025 is is really, you know, incrementally positive as we look at our results and fee expectations or our our outlook in Mexico. And and other markets around and around the world. There is a little bit of an impact but it is really not material. To our overall outlook. Nothing to call out with respect to our fee expectations. Related to FX. At this point,
Michael Bellisario: Understood. Thank you.
Joan Bottarini: Sure.
Michael Bellisario: Our next question comes from
Operator: Duane Fedigwerth from Evercore ISI. Please go ahead. Your line is open.
Duane Pfennigwerth: Yeah. Hi. This is Peter on for Dwayne. Thanks for taking the question. So you mentioned BT was up 10% in the fourth quarter. Leader looks strong as well. Group is flat. I know there's some calendar shift noise in there, but use it expand on your broad expectations for each of those demand segments and how they fit into the 2% to 4% RevPAR guide for for 2025. Thank you.
Joan Bottarini: Sure. Absolutely right. You picked up all of those metrics from our prepared remarks. And as we look ahead, you know, group is really been strong. We we ended the year with record production levels going into you know, for all periods in the future, So we're looking at a 7% group pace in the US in 2025, which which is a a a really strong position to be in. And that's coming from both rate and and demand occupancy. So we're that that growth is is continues to be healthy. On the business transient side, we're seeing momentum as well going into the first quarter. January was off to a good start. And and leisure's been very strong as well in in the start of the year going into the quarter. So, you know, I I would say overall, it's a continuation of trends with with with group being really help healthy, business being continuing the momentum, and leisure sustaining.
Mark Hoplamazian: Yeah. I would just point out two things that might be useful additionally. Corporate group has been growing at a much higher rate than association, and part of that is driven. Which is why, we're seeing rate continue to expand And that's true for what we realized in 2024, but also what what our outlook and and pace looks like into 2025. And secondly, I'm really encouraged to see that we've got relatively balanced. I mean, the the two sectors on the BT side and the business transient side, IT and banking and finance, are up over 20% in 2024 versus 2023. But we also have consulting and pharma that are also in the double digits. So it's not, like, one sector is blowing the doors off and everything else is flatter down. It's actually relatively well spread, and these sectors, are our top sectors, and they are also the biggest travel spenders. So the the the breadth of the market, so to speak, if you wanna put it in in stock market terms, is really healthy. And very exciting to see our our large corporate clientele which is really our core base of BT, back on the road in significant measure. Thank you.
Operator: Our next question comes from Richard Clark from Bernstein. Please go ahead. Your line is open.
Richard Clarke: Hi. Thanks for taking my question. Good morning. I guess at your Capital Markets Day in 2023, you said in 2025, you'd be doing $1.2 billion of EBITDA. And that would translate into $750 million of of free cash flow You obviously lost a bit of EBITDA due to the disposals, but you've lost nearly $300 million of that free cash flow. Just trying to understand that that that bridge And is that $750 million number maybe a number we can expect in 2026? Is that is that coming back?
Joan Bottarini: Thanks, Richard. You know, there there's a couple of of drivers between what we presented at investor day and where we are now for 2025. And you pointed out a very important one, which is we accelerated asset sales beyond what we anticipated back in 2023. So that's a a big driver of the change. Another driver is the RevPAR ranges that we provided. Clearly, you know, we were emerging from the pandemic, and we provided pretty wide ranges, three to seven percent. And so, you know, where we've come in in the last two years, that compounded growth well, 2023 was a little bit better than we had provided at Investor Day 24 and what we're seeing for 25 is towards the lower end of the range. So those two are are meaningful components of the difference. And then then there is a couple that I would just point out with respect to our interest expense expectations. We've taken on a little bit more debt than we anticipated back at the Investor Day. Feel really good about our execution in the capital in the debt capital markets. So we're getting our new debt at very, very good rates. And but a little bit higher than what we had anticipated. And then finally, while our CapEx is coming down significantly, It's not quite at the levels that we had anticipated at Investor Day for for two major reasons. We're providing some incremental investments towards some important strategic technology both in our ALGV business, and in our in our management business. So that's there's a little bit of of CapEx related to those investments And then we're making a couple of strategic investments into our own portfolio really to position assets through The building systems work and some ROI projects. So those are the four items that that bridge you, which is the sold EBITDA, the lower RevPAR expectations, a little higher interest expense, a little higher CapEx. We do anticipate that our free cash flow will be increasing Our asset light mix in 25 is over 80%. So it's going to continue to grow and we'll keep you posted with respect to the the number as we proceed through this year and look at 2026.
Mark Hoplamazian: Yeah. I would just add one quick thing on the point that Jen made about the investment income investment in in some of our assets. It's really designed to optimize and maximize the potential on sale. And and for some other investments, in relation to existing third party owned assets for in in return for enhanced Management agreement. Terms We've also provided some support that we had previously reported on with some of our major REIT owners. So those are the things that, are, I think, having a short term, but not a continuous. It's not a run rate issue. Impact on cash flow this year.
Richard Clarke: That's it. Thank you, both. Our last question will come from Patrick
Operator: Scholes from Truist Securities. Please go ahead. Your line is open.
Patrick Scholes: Hi. Good morning.
Mark Hoplamazian: Most of my questions have been asked, but I wonder if we can just step back a little bit and talk about the fourth quarter. Quite a few of the higher level KPIs, RevPAR, package RevPAR, above expectations yet EBITDA guide missed guidance. Only thing I heard in the prepared remarks might have been from thirteen Milton or maybe timing of asset sales. Yeah. It looks like at least first my numbers and some others, distribution which could have been from hurricane, and other revenues and g and x expenses. Can you just talk about what your interview drove the earnings nest Thank you.
Joan Bottarini: Sure, Patrick. You you hit on the point. I would I would just highlight. We had some onetime G and A cost, bad debt reserves that we decided to take in the fourth quarter. When you consider our outlook for next year for 25, relation to g and a, got a very modest growth rate when you can consider inflation and adding some standard g and a and buy a principal pay g and a. So those amounts are one time in 2024 with the choice that we decided to make at the end of the fourth quarter. And, yes, the distribution business was a was a bit lower, That was one time events from the hurricane was partially contributing to that. And then some lower bookings that we saw. You know, our our business has been healthy in net package RevPAR, but some of the lower chain scales that the ALG Vacations distribution business serves were a little bit lower than we had anticipated. So those were the main two drivers of the EBITDA mis because we had really terrific fee growth in the quarter that was frankly ahead of our expectations and as a result of really strong demand that we're seeing globally.
Patrick Scholes: Okay. I just follow-up on the ALG vacation booking Is that gonna flow through to this year at all in your numbers? And what has been the
Mark Hoplamazian: the trend so far this year with those able to patient bookings. Thank you.
Joan Bottarini: Yeah. It's it's it's a a little bit better, but I I would anticipate for for modeling purposes, flat to incrementally positive in 2025 as part of our It's a Outlook. For the distribution segment.
Patrick Scholes: Okay. Thank you.
Mark Hoplamazian: So thank you all for your time this morning. We appreciate your interest in Hyatt and look forward to welcoming you to our hotels and resorts. So you can experience the power of our care Firsthand. Wish you a great day have
Operator: This concludes today's conference. Call. Thank you for participating and have a wonderful day. You may all disconnect.